Jocelyn Philbrook: Good afternoon, everyone, and thank you for joining us today as we discuss our first quarter fiscal 2008 financial results. With me today are Sonus’ Chairman and CEO, Hassan Ahmed, and CFO, Rich Gaynor. The press release announcing our first quarter 2008 financials was issued this afternoon at 4:05 PM Eastern time on PR Newswire and on First Call. The text of this release also appears on our website at www.sonusnet.com. Before Hassan offers his opening remarks, I would like to remind you that we’ll make projections or forward-looking statements regarding items such as future market opportunities and the company’s financial performance. The productions or statements are just predictions and involve risks and uncertainties such that actual events or financial results may differ materially from those we have forecasted. As a result, we can make no assurances that any projections of future events or financial performance will be achieved. For a discussion of important risk factors that could cause actual events or financial results to vary from these forward-looking statements, please refer to the Risk Factors section of our quarterly report on Form 10-Q through the period ended March 31, 2008. Any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update forward-looking statements at some point, we specifically disclaim any obligations to do so. I’d now like to turn the call over to Hassan.
Hassan Ahmed: Good afternoon, everyone, and thank you for joining us. As many of you know, last year marks Sonus’ 10-year anniversary as a company and we closed it out with record high revenues, high profile customer whims, and a growing cash balance. That momentum has continued as we enter our second decade. Today, I’ll share with your our progress from the first quarter and discuss our outlook for the year ahead. Then I’ll hand it over to Rick for a more detailed overview of our quarterly financial performance. Q1 marked a solid start to 2008. The Sonus team executed against the plan we outlined at the beginning of the year and delivered performance in line with our expectations. The first quarter followed the traditional Q1 seasonal pattern, with order activity starting later in the period as operators budgets were finalized. This is typically our slowest quarter during the year which is reflected in our book-to-build being below one for the quarter. Revenues increased annually to $74 million while non-GAAP gross margins remain strong at approximately 64% and non-GAAP quarterly operating expenses decreased slightly year over year. This resulted in non-GAAP operating incomes at an increase 64% from the fourth quarter of 2007. Added to this, our deferred revenue grew to over $179 million and our cash balance also increased 11% from Q1 of last year, resulting in an ending cash/cash equivalent and marketable securities balance of over $407 million. Our solid performance in the first quarter, following a tremendous Q4, demonstrates the benefits of our diversified market and geographic approach. Overall, our business performance was driven by three factors. First, in North America, there has been a notable increase in the number of minutes supported by our customers’ networks. Second, our Access business has continued to accelerate, especially in Europe, where Access is now our fastest growing product line. And lastly, our decision to broaden our geographic presence in [inaudible] economies was starting to deliver results. Okay, first with our geographic order performance in Q1, all regions achieved order growth compared to a year ago. Demand was healthy and balanced for this period of the year. While we continue to be mindful of current trends in the macroeconomic environment, we still have not seen evidence of softness in the service provider IP voice market. A key component of our strength is our broad stand across geography product categories and customer segments, which is a critical asset in any economic environment. Starting first with North America, this region continues to be our largest revenue contributor, with Q1 order performance growing significantly from this period last year. The increase levels and operator’s IP traffic throughout this region are a primary factor in our growth. Our customer’s IP voice traffic is increasing due to a few factors including an increase in wholesale IP traffic driven in part by the ability to connect at an IP level, the addition of new IP services that require more bandwidth and the newly promoted flat rate pricing programs that are driving consumer minutes on the network. AT&T remains our largest customer in North America but they’re just one example of our ability to reduce network costs and reliably deliver real-time services. As one of the world’s largest operators, AT&T’s network footprint is significant, both in geographic reach and the volume of minutes it carries. We’re proud that over the last five years, AT&T has leveraged our solutions and then migrate their network to an advanced IP architecture. There is still much more to be done with this enormous operator and we continue to expand their Sonus-based IP voice network, both in scale and in scope. While AT&T is our largest North American customer, they are certainly not our only major customer in this region. Neutral Tandem was an important contributor to our business performance in Q1, along with Qwest Communications, Time Warner Telecom and Level 3, to name a few. Turning now to Europe, I’m really pleased with our progress in Europe as reflected again in the second largest theatre from an order perspective. We announced our deployment in BT’s 21st Century Network last November and are working diligently to meet their aggressive deployment timeline. We’re honored to be part of this historic network evolution project but this isn’t the only monumental network build that Sonus was executing on in Europe. In Interoute Cable and Wireless and The Carphone Warehouse all have deployments underway with Sonus. Broadening beyond the UK, we have a significant deployment underway at Deutsche Telekom T-Systems. Further, France Telecom is leveraging our number of border switch capabilities in their unique network environment. All of this activity resulted in order growth for Europe that was up sharply versus Q1 last year. For the first time in our history, Sonus took the top spot in the European market in 2007, according to Synergy Research. And you can be sure that we have no intention of letting anyone displace us from the top in 2008. We see a vital and energized European market for IP voice solutions and we intend to capitalize on that market with an asserted effort. In Q1 we expanded our sales coverage in Spain, Scandinavia, the UK and Africa, which is already beginning to yield new sales opportunities. Finally on to Asia Pacific and Japan, in Japan you may recall that during 2007, we were disappointed that some operators took longer than expected to digest new technology being delivered for their next generation networks. As a result, our growth in Japan stalled in the later part of last year. We’re pleased that these same operators are now moving on to the next phase of growth in their network plans. While we continue to focus on partnering with leading Japanese operators to advance their IP initiatives, we are also extending our footprint in Asia. For the first time in Sonus’ history, order activity in Asia excluding Japan exceeded our order performance within this next gen hub. To add a little more color on the growth drivers within this region, one of our customers, Telecom Malaysia, expanded the scope of its mobile number portability project with us to meet the growing consumer demands from this region. I look forward to sharing more with you on our progress in Asia in the coming months. From a market share perspective, many of the industry analysts have released their year-end findings. I’m proud Sonus was on top in all the right places. The latest market research results show Sonus with the leadership position in each of the segments we target. Industry researcher, iLocus, recognized Sonus as the 2007 Global Leader in IP Voice Minutes, with a 38% market share, nearly four times the next closest competitor. And Synergy Research also placed us at the top of the global market, ranking Sonus number one in all three major regions: The United States, India and Japan. In total, it is clear that the world’s moved to IP voice is underway. Today, we address nearly 70% of the global opportunity for IP voice with our direct sales efforts. We’ve proven that in the regions we target, we lead. As the worldwide market for IP voice expands, we are opening new regions to grow with it and capture even more of this growing market. According to Synergy Research, the global IP voice market will grow to $5.6 billion by 2011. Our challenge and our opportunity is to continue to grow ahead of the market. We are executing against the plan to permeate the world’s top operators, which we believe will deliver growth for a long-term sustained period. Now, let’s shift gears and spend a few minutes on the products and solutions that give us an edge in the market. The interest level in our Network Border Switch continues to increase. We’ve signed new customers for this solution and are embarking on a number of projects to connect the world’s communications network. Not only has global interest levels in our solutions increased but order activity has also grown. Perhaps even more importantly, several operators have capped their installations of first generation session border controllers and are moving forward with Sonus. Sonus has a proven product that can scale to meet the demands of larger operators and enterprises with security and full functionality. Shifting to the edge of the network, this is where things are really starting to heat up. In 2007, we shipped more licenses for our ASX classified Feature Server than in the previous two years combined. I’m pleased that The Carphone Warehouse, Cable and Wireless, Deustche Telekom, J-Com, Qwest Communications, ONI, NTT, Alestra, and most recently, BT and Comverge, all have deployments that leverage Sonus’ Access solutions. With over a billion landlines and nearly three billion mobile phones around the globe, you could see why we’re enthusiastic about this market segment. We see a world of opportunities in the growing voice applications market as well. The convergence of voice and multimedia is the future of global communication and the Sonus IMS application platform is an important part of that future. In March of this year, the IMS 2.0 product was given the Prestigious Innovative Award from Von Magazine. More importantly, the IMS is helping to drive sales of our core IP voice solutions by demonstrating that Sonus can help carriers create and sell real IP voice services now. The applications market is a bit different than our traditional voice infrastructure business. This is a segment of the market that will unfold at a speed largely determined by consumers. For Sonus, we are investing now to enable operators to not only bring together services from Sonus’ ecosystem of partners, but also others in the industry. To further that end, Sonus recently acquired our long-term partner, Atreus Systems. As we continue to help the industry move to an all IP platform, bridging between traditional networks and the future of communications is critical. Atreus enables us to do that with a proven provisioning solution that consolidates an operator’s IP and TDM-based voice services into a unified seamless platform. One of the most important goals for Sonus in 2008 is to penetrate the wireless market with innovative IP voice solutions. We announced our presence in a big way this year with significant showings at the industry’s two largest events, the Mobil World Conference in Barcelona and more recently, CTIA. Barcelona was the stage for the unveiling of our advanced network solution to bring femtocell technology to life under the new Sonus mobilEdge brand. Also this quarter, we announced our new Centralized Call Router solution, which enables wireless operators to deploy Transcoder-Free Operation gateways in their networks for improved voice quality and lower bandwidth use. This is critical for mobile operators as they offer flat rate pricing programs to drive more traffic onto their networks. These are dynamic times in our industry, from the FCC’s recent wireless spectrum option to the global push to build the single worldwide multimedia network. If the future we envisioned more than ten years ago and we continue to look forward as we build solutions that will address the needs of the next ten years, from seamless mobility to global number of portability. In an effort to accelerate that future and in our own growth, we committed more resources to research and development than ever before. What’s on the horizons for Sonus and the months ahead is a world of opportunities. We’ve identified a clear strategy for growth that includes tapping into emerging economies and penetrating new markets like wireless and Access solutions. We’ve encountered success everywhere that we go. Our goal in 2008 is to extend that success with a broader portfolio of offerings and a truly global presence that unites today’s voice networks and protect the technology of tomorrow. As we advise coming into 2008, we see no sign of the evolution to IP voice slowing. Operators recognized that their networks are strategic assets that allow them to differentiate themselves in the market. And at certain economic times, new purchasing decisions tend to be evaluated with even more rigor. At Sonus, we’re mindful of this and believe that our strategic advantages and the value we bring to our operators will continue to be recognized. As a result, we are reaffirming our outlook for 2008 and expect solid sequential growth for the second quarter of 2008. We’re committed to delivering annual 2008 revenue growth but at least matches the market’s performance, which is expected to be approximately 20%. Before I turn the call over to Rick, I’d like to thank our customers, partners, long time shareholders and, of course, our employees for their continued commitment to Sonus and to our vision for IP communications. We’ve got a great team behind.
Richard Gaynor: I’m pleased that Sonus achieved the plan we outlined with you for the first quarter. Our increasing growth and execution and operational excellence in every level is underscored by the solid financial performance we reported today. We exited the year with good visibility in our business metrics which remains unchanged. Let me now recap our results. Please note that throughout my discussions, I will reference both GAAP and non-GAAP financial information. There is a reconciliation of GAAP and non-GAAP financial information in the Investor Relations section of our website. I would like to remind investors that, for a variety of reasons, our business is inherently uneven and we suggest that you consider high performance over a longer time horizon, as our results will fluctuate from quarter to quarter. Revenue for the first quarter was $74 million, down 23.8% from $97.l million in Q4 2007 and up 4% from $71.1 million in Q1 2007. Product revenue was $51 million, or 68.9% of total revenue, down from $67.3 million in Q4 and $51.6 million in Q1 2007. Service revenue was $23 million or 31.1% of the total, down from $29.8 million in Q4 and up from $19.5 million in Q1 2007. The strength in our Q4 service revenue was driven by completion of professional services in Q4 including the MXP project within our network with Deutsche Telekom T-Systems. AT&T contributed greater than 10% of our total revenue in the first quarter. Our top five customers represent for the approximately 58% of revenue in Q1 versus 53% in Q4 and 71% in Q1 2007. We reported revenue from 85 customers in the first quarter compared to 82 in the fourth quarter and 63 in Q1 2007. [Inaudible] ratio in the first quarter was below one as expected, reflecting the inherent seasonality in the telecom business. Before I begin discussing our gross margins in operating expenses, I would like to point out that these are non-GAAP numbers that exclude stock-based compensation and related expenses, stock option review costs, and adjustments to a loss contingency related to an employment tax audit in connection with the stock option review. Amortization of intangible assets related to the April 2007 purchase of Zynetix and in insurance recovery related to the 2004 restatement litigation settlement. Again, I would like to remind you that additional information regarding our non-GAAP financial measures, including GAAP to non-GAAP reconciliations, it available in the Investor Relations section of our corporate website, and I would encourage you to visit the site. Non-GAAP gross margins for the first quarter was up 64.2% of revenue compared to 60.3% in Q4 and 64.9% in Q1 2007. Product gross margin for the first quarter was 67.5% compared to 56.5% in Q4 and 67.1% in Q1 2007. Our product gross margins were higher this quarter on a sequential basis due primarily to favorable product mix associated with the expansion of our existing customer networks. Service gross margins were 56.9% compared to 68.9% in Q4 and 59% in Q1 2007. The sequential decrease in our service margins in Q1 primarily reflects the decrease in our services revenue in operating leverage attained at these revenue levels. As for non-GAAP operating expenses, Q1 R&D expense was $16.9 million compared $14.8 million in Q4 and $15.5 million for Q1 2007. The sequential increase in R&D expenses in Q1 was associated with an increase in headcount and other people-related costs, some of which like our support ramp for the BT 21 CM project. Sales & Marketing expenses increased to $17.1 million in Q1 compared to $16.6 million in Q4 and down from $19.5 million in Q1 2007. The sequential increase in Sales & Marketing expenses was associated with an increase in headcount and other people-related costs in support of our global expansion efforts, partially offset by lower commission expenses. G&A expense was $9.1 million in Q1 2008 compared to $11.3 million in Q4 and $8.4 million in Q1 2007. The sequential decrease in G&A expenses in Q1 was due to reductions in professional fees, including legal and audit costs. Total non-GAAP operating expenses for the first quarter was $43 million, up from $42.7 million in Q4 and down from $43.4 million in Q1 2007. Q1 non-GAAP operating income was $4.5 million or 6.1% of revenue compared to $15.8 million or 16.3% of revenue in Q4 and $2.7 million or 3.9% or revenue in Q1 2007. We believe our focus in controlling operation expenses will play an essential task in improving operating profit performance in 2008. We believe we continue to track to our operating income target of 14-16% for the year. Our non-GAAP effective income tax rate was 38.7% for Q1. Please note that we have a significant and a well position of $110 million at year-end and our actual cash payments for taxes are much lower than the financial statement provisions. In summary, Q1 non-GAAP net income was $5.2 million or $0.02 per diluted share compared to $12 million or $0.04 per diluted share in Q4 and $4.8 million or $0.02 per diluted share in Q1 2007. Now turning to the GAAP results. Our Q1 gross profits included $1.3 million of stock-based compensation and related expenses and $65,000 of intangible amortization. We have operating expenses of $49.4 million in Q1 which included stock-based compensation and related expenses of $6.9 million and intangible amortization of $75,000, offset by a gain for an adjustment to a loss contingency related to the supplement of an employment tax audit in connection with the stock option review of $534,000 totaling $6.4 million. Q1 GAAP operating loss was $3.3 million compared to operating income of $23.3 million in Q4 and an operating loss of $10.3 million in Q1 2007. Q1 interest income, net of interest expense, was $3.9 million compared to $4.7 million in Q4 and $4.6 million in Q1 2007. The interest income decline was primarily due to the lower interest rate environment. Our GAAP effective income tax rate was 44.5% in Q1. The high rate was due to the high tax jurisdiction in which we operate and the non-deductibility of several lines, in particular, certain stock compensation charges. Again, I remind you that our actual cash payments of taxes are much lower than the financial statement provisions. Q1 GAAP net income was $566,000 or $0.00 per diluted share compared to $14.1 million or $0.05 per diluted share in Q4 and a net loss of $4 million or $0.02 per share in Q1 2007. In Q1, our diluted share count was approximately 271 million shares. Now turning to the balance sheet. Overall, Sonus ended the quarter with total cash/cash equivalent/marketable securities and long-term investments of $407.6 million compared to $392.6 million in Q4. This cash balance improvement was primarily driven by very strong cash collections of over $100 million in the quarter. On April 18, 2008, we completed a cash acquisition of Atreus Systems, a privately held company with its principal office located in Ottawa, Canada. As we disclosed in our Form 10-Q filed this afternoon with the SEC, we paid $4.9 million which we will be reflecting in our Q2 ending cash balance. We expect to incur some additional exit costs in 2008. We expect this acquisition to be slightly dilutive in 2008 and neutral in 2009. Accounts Receivables were $66.9 million, down from $85 million in Q4, reflective of the strong cash collections I referred to earlier, and up from $59.7 in Q1 2007. Our DSO and our Receivables balance was 92 days, up from 73 days for Q4 based on a 2-point average. For those of you who are more custom to a single straight point DSO calculation, our DSO’s will be 81 days in the first quarter, up from 79 in Q4. Total deferred revenue was $107.9 million, an increase from the $99.2 million reported in Q4 and $90.6 million in Q1 2007. The current portion of deferred revenue was $90.8 million and the long-term portion was $17.1 million. While we are continuing through see borders related to our [AGC] and BT, I would note that this deployment is not yet reflected in deferred revenue due to the invoicing terms of the contract. We do anticipate this to occur later in 2008. We ended the first quarter with $48 million of total inventory, up from the $45.6 million we reported at the end of Q4 and $46 million in Q1 2007. $32.3 million of our inventory balances unearned inventory which reflects product shipped to customers but not yet reflected in our revenue results. Cap Ex during the quarter was $1.7 million compared to $2.7 million in Q4 and $1.7 million for Q1 2007. Appreciation was 3.3 million in the quarter consistent with Q4 2007 and up from $3 million in Q1 2007. Looking at our head count, we ended the quarter with 955 employees compared to 926 employees at the end of 2007, with the largest increase Sales, reflective of our global expansion initiative. We expect head count in the second quarter to increase and part due to the addition of approximately 49 employees from the Atreus acquisition that we are excited to have join us on this team. Now turning to our outlook which is inclusive of our Atreus acquisition. Our view for Sonus’ opportunity in the market remains unchanged for 2008. We continue to expect Sonus to achieve revenue growth that is at least in line with the overall market growth, which is expected to approximate 20% for 2008 versus 2007. Given the inherent seasonality in our business which typically includes a strong fourth quarter, we expect the second half of 2008 to realize strong revenue results. For the second quarter specifically, we currently expect revenues to be in the $84-88 million dollar range. Non-GAAP gross margins are expected to be in our long-term model range of 58-62%. Non-GAAP operating expenses are expected to be in the $46-48 million dollar range. We will continue to invest in R&D and Sales and Marketing and support of our annual plan. G&A expenses should increase modestly from Q1. Non-GAAP operating income is expected to be $3.5-6.5 million. We expect interest income of approximately $3-3.5 million. Our non-GAAP tax rate for the quarter should be approximately 39%. Finally, share count is expected to increase to approximately 274 million shares. In summary, in Q1 Sonus continued to execute to its plan and strengthen its customer position of product portfolio. In 2008, we look forward to a solid year of revenue growth, expanding our incumbency position with major tier one customers and penetrating new geographic markets. Now, Hassan and I would like to open the call to any questions you may have.
Operator: (Operator Instructions) Your first question comes from George Notter - Jefferies.
George C. Notter: Looking at the cash balances, they’ve grown a bunch here over a number of quarters, almost $408 million dollars here in March. Have you thought, with any portion of that cash excess I would imagine that you don’t need all that cash and then the daily operations for the business. Have you though about dividending some of that stock back to shareholders or returning in a form of buybacks or is this more something you want to keep on the balance sheet for M&A purposes? Any general thoughts there? Thanks.
Richard Gaynor: We’re clearly pleased to have $407 million of cash in the balance sheet. You know that and we do look at our capital requirements on a go forward basis regularly and we do have discussions on that point with the Board. We look at the various alternatives that are available to us and you’ve mentioned a couple of them. They are including the stock buyback. The other thing is we need to consider is what other potential uses we may have for that cash balance. Clearly we like to have strength in the balance sheet just because the comfort it gives major carriers that Sonus is a solid player who’ll be around for a long time. We also got to look at what investments we may want to make internally. What acquisition opportunities may be out there in the marketplace as well? So we do weigh up all those things; we do discuss them with the Board on a regular basis but at this point in time, the company has not declared any particular alternative to be the one we want to go after. Clearly, we’re doing it in the best interest of the shareholders. So, we’re looking at various alternatives right now.
George C. Notter: I heard a lot of commentary on the monologue about reinvesting in the business in the form of Sales & Marketing and R&D and new products. Obviously Sonus continues doing much in the company but is there a change in the viewpoint here at the company? Am I sensing that you are getting more aggressive about putting R&D dollars to work in the business, and therefore, given you maintain full year guidance on top line and margin structure? There’s nothing shifting around in terms of how you think of the business model as the year progresses or am I misreading that?
Hassan Ahmed: Hi, George, there’s no change in the full year outlook, either top line or the bottom line that we offered you on our last conference call. We wanted to make sure you knew the opportunities that Sonus has before and how we’re choosing to invest in the business for our priority [inaudible]. And certainly one of the things that we talk about is our global sales expansion. It’s all within the model that we outlined for you last time but we’re very excited about that. The one thing that we see from our share results is wherever we play, we generally do extremely well. But as it turns out, we don’t play everywhere and the company has grown and its markets are starting to expand around the globe. We’re definitely adding that opportunity set to the yearly plan.
Operator: Your next question comes from Natarajan Subrahmanyan - Sanders Morris Harris.
Natarajan Subrahmanyan: Hassan, you commented that you’re not seeing any slowdown in certain other spending and general voice over IP. There has been some concern about some of the more Tier 2 carriers with closed deals and push outs and timing and so on. Is there any difference between your Tier 1 and Tier 2 and also the Japan rebound that you touched about, if you can comment on that?
Hassan Ahmed: . First of all, in terms of the voice over IP marketplace, I think Sonus is distinguished perhaps in having the broadest customer base in the space and therefore we can actually look at some of the patterns that we see in the various types of operators. And our experience so far is that the ordering patterns of our customers really hasn’t changed at all and while we’re certainly mindful of what we see in the macro environment, we haven’t really seen any slowdown with the operators that we work with in terms of their urgency and desire to build out their IP infrastructure. And so we’re very pleased with that. And that, by the way, we see as a trend across the tiers, in both our Tier 1 and Tier 2 customers. With regards to Japan, one of the things that we entailed in the last year was how some of our customers in Japan has probably taken a little longer than we might anticipated to really digest, if you will, the technology in some of the new Next Gen Networks. And what we’re really pleased about is that the [inaudible] behind them are entering into the new phase of network expansion and order. And so we are very excited about Japan for 2008 as well.
Natarajan Subrahmanyan: Operating margin-wise, what progression do you expect to see through the course of the year given the increase in office solutions near term to get to your goals?
Richard Gaynor: I don’t think at this stage we want to do any sequential ramp. We’ll put out our Q2 guidance that we just did. I think we feel very comfortable still at this point with our annual outlook that we gave on the last call of 14-16% operating. But I don’t think this is an inherently uneven business we say so major odder can fall in week 13 or week 1 and make significant changes. So I think we’d rather hold off from giving specific Q3 and Q4 numbers.
Natarajan Subrahmanyan: And that’s a full year range for the full year ’08, the 14-16%, correct?
Richard Gaynor: Correct.
Operator: Your next question comes from Jason Ader - Thomas Weisel.
Jason Ader: Could you tell us what the order growth was year over year? You talked a lot of about orders geographically and how they were, I think all the reasons you talked about them being, is there any way you can give us what the, we know the revenue growth of 4%. At least if you can’t give us an exact number, can you tell us about that 4%?
Richard Gaynor: Yes, we’re definitely above that, Jason. Orders went up in every region and orders overall were up significantly from a year ago and we’re really pleased with this Q1. Q1 is seasonally typically slower in the telecom business. We’re finalizing our budgets and so forth, but we’re very pleased with how this particular Q1 turned out.
Hassan Ahmed: Deferred revenue was stronger in Q1 ’08 than it was in Q1 ’07 and we feel pretty good about the backlog.
Jason Ader: Do you see a similar growth, was close to the market gross rates that you talked about earlier?
Richard Gaynor: Order growth versus a year ago was very healthy, very robust. healthy, very robust.
Jason Ader: I know historically you haven’t broken out the three major segments of your business, which I guess I would call Core, Access and Wireless, although Wireless may be a little bit fuzzy now with Core. Is there any way at some point you would consider breaking those segments out? Maybe not on a quarterly basis but on an annual basis? I think it’ll just be helpful for all of us that are trying to analyze the company and model the company to understand a little bit more quantitatively about the three different segments of the business.
Hassan Admed: Jason, that’s something that we definitely stride to do, particularly if you think about some of the commentary that we provides, certainly or core business is strong and continues to be strong with the minutes growth but particularly as we look over into Europe, our Access business is easily the fastest growing segment there.  And so, each of these segments that you talked about Access environments similarly are developing very nicely. They’re turning out to be equal parts of the business and so overtime we would definitely get into the mode. We will start to provide you more qualitative as opposed to quantitative color on how these segments grow.
Operator: Your next question comes from Troy Jensen - Piper Jaffray.
Troy D. Jensen: If Access is the fastest growing product segments and it carries higher gross margins, according to my memory, why would you be getting down the gross margins so much here in the second quarter?
Richard Gaynor: I think the fact is you have to look at Q1 in isolation. In Q1, we had extremely favorable customer and product mix that drove the gross margins up. We would not expect to see that occurring on a consistent basis so we think the right range to consider for the entire year is still in the 58-62%. I think obviously long-term we’d like to say that hopefully we have more opportunities to move that gross margin up than down, but I don’t think we’re feeling bullish enough at this stage to say that we feel like we can come out of that gross margin range this fiscal year.
Troy D. Jensen: Can you just give us a sense of how well IMX and NBS sales business during the quarter?
Richard Gaynor: The NBS is just being extremely well received. We’re very pleased with that because what we’re seeing is the NBS truly is a New Generation product that is having a number of customers make the selection off some of their first generation appliance selections and move forward with the NBS. We’re pleased with that. We signed new customers this quarter. The number of customers for the NBS has, and these tend to be significant customers of the NBS scalable products, has certainly grown in the course of the quarter. We saw numbers up for the NBS, which led to the IMX. The IMX is actually being well received with customers but I would tell you that the IMX is much earlier in its life cycle than the NBS. One of the new things about the IMX is that it allows operators to see the power of what they can do on IP infrastructure as they shift away from wondering how to build the infrastructure to starting to wonder about the services and communications experience they can build. That’s what’s really important for us because when they see what they can do with the infrastructure, it drives the sale of our core infrastructure and adoption of our core infrastructure, as well. So the IMX is in a growing number of customers. I don’t know the number off the top of my head but I’ll tell you it’s less than a dozen today, but very significant in terms of adoption, not only of the IMX itself but in the core infrastructure it brings along with it.
Operator: Your next question comes from Paul Silverstein - Credit Suisse.
Paul Silverstein: First off, on the NBS, you just shared with us has more customers than the IMX. Not so long ago, last year you shared with us that the NBS had 40 customers or 40-plus. Can you give us an update on where you are customer count for that product? I know you mentioned you got new customers but are we over 50 customers or 60 customers? Can you give us some metric?
Hassan Ahmed: I don’t know the exact number of the top of my head but I know it’s more than 50.
Paul Silverstein: And I assume you can’t tell us you have whether or not that’s greater than 10% of revenue?
Hassan Ahmed: Yes, we haven’t broken that out yet. Sorry, Paul.
Paul Silverstein: Is that something you will break out or is it something you don’t have the numbers to break it out yet?
Hassan Ahmed: Because the NBS typically, in the number of our deals, gets sold as part of an infrastructure build, and a good example is our France Telecom build where everything is bundled together. We don’t break it out as easily as you might think. So we haven’t started breaking it out yet, Paul.
Paul Silverstein: Sorry but you just mentioned France Telecom. I thought your prepared remarks, you referenced France Telecom is doing an NBS build but I thought I just heard you say that now it’s a bundled NBS. I assume bundled with your other products?
Hassan Ahmed: That’s right. France Telecom is a core switching network build that includes the NBS.
Paul Silverstein: Okay, so it’s not just the NBS that’s been speculated.
Hassan Ahmed: Correct.
Paul Silverstein: When you referenced the Japanese coming back, is that one KDDI or are we talking, and I recognize there aren’t that many carriers in Japan. We’re talking about a handful, but are your facts referring to the large majority of those 4-5 major carriers in Japan as going to the next phase, or we talking really about one particular carrier?
Hassan Ahmed: Well, there aren’t a lot of carriers in Japan, Paul, but each one of them is significant in its own right from our perspective and is rolling out a Sonus-based infrastructure. In fact, with all the ones that matters, Sonus is supplying technology to all of them which is fantastic from our perspective. But certainly, the larger operators that were rolling out the new networks are continuing to move forward on their phases and clearly KDDI, the one you mentioned, is definitely one of them, which is progressing to the next phase of its deployment.
Paul Silverstein: One but not the only?
Hassan Ahmed: That’s correct.
Paul Silverstein: With respect to BT, Rick, I heard you mentioned the fact that you are still receiving orders from them contrary to some stuff that’s been [ banded] about in the market. Can you give us any more insight in terms of the way that network deployment’s progressing? I recognize there’s only so much you can say about any customer but anything you’re going to offer to us in terms of the order flow, where that’s at?
Richard Gaynor: We announced the detail in the last year. We’ve continued to have what we describe as a pretty normal relationship where we’ve seen order flows from BT last year. We’ve seen order flows from BT in the first quarter. I think we’re not feeling any let up at all in that front. BT has done a very nice job building out some of their transported infrastructure and what Sonus is doing is to build the infrastructure that delivers services on top of that. And so we’re on very aggressive deployment timeline. We’re very honored to be part of that network, as I mentioned in my prepared remarks, and we’ll see a lot of activity that we’ll continue to work through. So I think this is a relationship that will continue to be of the normal thing that you see which is orders flow, products get delivered, cash gets received, etc.
Paul Silverstein: With respect to BT, I recognize the Access portion is pretty big deal in and of itself. Is it premature to be talking about other applications that you may have won there?
Hassan Ahmed: Paul, one of the things that we’re very excited about with this AGCF deal that we announced is that in and of itself it’s a very significant opportunity for us that we are helping AGCF deploy but it also represents something very important. It represents us having a seat at the table as far as 21CN goes. 21CN is arguably one of the largest network evolutions underway around the globe and so, as that network evolution proceeds, you start to see more and more opportunities than applications that develop and Sonus is privileged to have a seat at the table to focus on those as they come about. And so we certainly see that. We did announce shortly after our AGCF deal a second application that we are doing with BT, which is in the Next Gen Conferencing application. Those are the only two things that we talked about so far.
Operator: Your next question comes from Ed Jackson - Cantor Fitzgerald.
Edward R. Jackson: I actually did not catch the unearned inventory number.
Richard Gaynor: It was $32.3 million.
Edward R. Jackson: One is on the NBS as a product that goes in the GSX chassis, have you ever had a deployment where you’re putting a chassis in that is an ex-used chassis that’s both NBS and BT gateway?
Hassan Ahmed: Roughly speaking, Ed, I’d say about half of our deals that are more of the NBS involved are bundled in which often includes what we refer to as hyperchassis, which is switching and such that border controls all bundled together. And that makes sense because that’s really what; the only point of doing border controls is to switch a flow. So, since seen it’s been very well received. And about half of our situations, roughly speaking, end up being really stand-alone NBS opportunities just because the NBS is very scalable and reliable high end product that is, as more and more IP peering takes place now, it really steps up to meet the challenges from these large networks.
Edward R. Jackson: Switching over to BT, a lot of border activity [inaudible]. Given the typical timeline for revenue req, do you think that you will recognize revenue around BT during 2008?
Hassan Ahmed: The answer is no. We don’t have any plan for recognizing revenue in 2008 for BT.
Operator: Your next question comes from Brian Coyne - FBR Capital Markets.
Brian Coyne: If you could just go back and revisit some of the other questions with regards to the book-to-build and the orders you sighted and that links in Asia. Obviously, book-to-build level I revenue’s up 4% year over year, as you’ve said that sharp order growth growing fast in Europe year over year. Current deferred revenues look like they grew. Is something dramatic going on with Asia Pacific? I’m not sure I’ve got the answer there. And then the second one really is the bigger picture. You haven’t talked as much recently about your voice over IMX relationship with Motorola. Can you give us an update there? Is that interesting at all given the strength of your wire announcement?
Hassan Ahmed: With regards to what’s going on in Asia, I don’t think it’s intimately related to the observation that you made, Brian, about book-to-build level I. I think Q1 is seasonally a slower quarter as we’ve always talked about in book level I is not that unusual at all. It’s as we’ve expected. But the commentary that I did provide, it’s someone’s question, I believe it was Jason’s, regarding orders in Q1 versus last year’s Q1. Orders, in fact, are up sharply year over year with the commentary. With regards to Asia specifically, there are two points to bear in mind. The first is that in the tail end of the second half, I’d say of last year, we saw, I guess, a slowdown is probably the best way to describe it of our business in Japan and that was related to a couple of our larger customers just taking longer to digest new technology as they build up the Next Gen infrastructure. That’s a combination of our technology as well as other things that they’re putting in their Next Gen infrastructure. And what we’re really pleased about is that’s behind us. And those customers have started moving on to their next phase. So we’re happy about that in Japan. And then when we look at Asia beyond Japan, we’ve been starting to expand our presence there as Southeast Asia and other parts of the world develop. And on that front, we’ve had some success. One of the ones we’ve added some color on was Telecom Malaysia with the mobile-to-mobile portability project. And then finally, with last part of your question which is voice over WiMax and relationships with [Mode]. Mode is a wonderful partner. We really like them. One of the yearly growth that we see is that particular emerging economies, emerging markets, we see WiMax as being a technology for delivering connectivity and once you have the connectivity, you have to build services running on top of that and Sonus delivers solutions for voice services. So we’re engaged in a number of operators around the world in that arena. I think one that we’ve announced previously is often, we haven’t announced any additional ones that I can recall, but we’re pleased with the engagement of the number of operators that we’re engaged with as a result.
Brian Coyne: I think to the degree that obviously looking for 2H3 a little bit stronger again is that going back? In fact, last year when you had the strong fourth quarter, you have visibility into T-Systems. It’s one of the similar situations, you think, with some of your Japanese or Asia Pacific customers?
Richard Gaynor: Actually, it’s even broader than that, Brian, and I think we build the plans which is based on being able to not only take what we know that’s in backlog. We have a significant backlog. You get to see a percentage of that or a component of that in deferred revenue but we have also significant backlog and we can look at account by account and figure out, quarter by quarter, when that will convert to revenue based on the outstanding items that need to be completed with each opportunity. We also see our Services businesses which, to the extent, largely maintenance contracts. We recognize that with the passing of time. Those two things turn out to be pretty significant things that we have in-house as it were and then the third thing that we have is, an [inaudible] understanding of deployments that our customers are undertaking. And so we can anticipate when phases of expansion takes place during the course of the year. And we put all that together to give you the outlook that we gave you, which was a strong fourth quarter last year, what we expected for Q1 of this year, and how we expect growth to proceed from here with what we told you about Q2 and a stronger second half. I think that a lot of intelligence built that up.
Hassan Ahmed: And I think, Brian, we can also say that because of the constructive $97.2 things can seem binery but we’ve actually continued to work very well with our customers in Japan. And of the $91 million of short-term deferred revenue we have, some of that will be reflective of activity in APAC.
Operator: Your next question comes from Tim Savageaux - Merriman Capital.
Tim Savageaux: Surprising enough, another question about Japan. I guess two parts. First off, did this upsurge kind of the Next Gen Network thing that we’ve heard from a number of vendors? Was that anticipated in your kind of initial and you were planning for the year, or has that materialized more recently. That’s question one. Question two is back in the days when you’re really rolling with a couple of your Japanese people. I think Japan was up to 50% of revenue at one point. It was like $3 million this quarter but to the extent we see a real return in Japan, can we start thinking about fairly chunky magnitudes in terms of what Japan represents from a percent of your total revenue?
Hassan Ahmed: I don’t recall, Tim, that Japan ever being 50% of our revenue but certainly our international contributions, which to a larger extent, was Japan that grew insistently from the single digits to the T’s, to the 20’s and so forth. And that was a total of international. What we saw last year is, as we mentioned, is certainly Europe had exceptional growth. Japan did stall a little bit as we mentioned in the second half of the year but that’s largely related to deployments and that’s underway again as operators have digested some of that technology. You may remember back in the day, also we used to show you a little chart of how deployments proceeded. And on average, we urge you to think in terms of three quarters or so for some customers before they went from limited deployment to scale deployment phase. And in some cases, particularly larger operators, that takes longer. In some cases, it happens sooner. Our earlier customers in Japan managed to do that quicker and there are ones that manage to take a little longer but overall, we’re pleased with the fact of moving forward to the next phase.
Richard Gaynor: And in terms of anything different from what our original planning assumptions were, I think the answer is no. Coming into the year, we knew what APAC had in deferred revenue, what we needed to do to be able to score that; we knew what we had in backlog and how much of that related to Japan, and what we needed to do to score that within the fiscal year. And the major deployments that Hassan talks about obviously are planned fairly well in advance by the customer base and we work very closely with them. So the answer to your question is what we expect to get out of Japan this year is still probably in line with what we expected and after we constructed the plan.
Tim Savageaux: I guess they’ve been planning to do that for a long time but actually doing it is another thing. I think that may be the change. I can just stick one more in. You talked about a 14-16% operating margin target for ’08. Have you ever talked about longer term as the company continues to scale? Where you think that operating margin can go, and I’ll pass it along?
Richard Gaynor: We have a long term operating model that targets the operating margin to be at 17-20% and we’re very comfortable with giving long-term models in that range. Certainly upcoming scales, we will look at whether that needs to be updated but at this stage of the game, that’s our comfortable model. Yes, one of the drags that we have on operating income is major winds like BT. Don’t help you in terms of operating income in the short term. Clearly they help in the long-term. Clearly, our goal is to continue to win major opportunities like that so we’re willing to bear the drag as long as we keep winning.
Hassan Ahmed: That’s timing, primarily.
Operator: Y our next question comes from Jack Monte - Lehman Brothers.
Jack Monte: Just a couple of details, if you can provide them on the Atreus acquisition? I’m just curious how large those revenues are expected to be this year, maybe how quickly they’re expected to grow, maybe a couple of details about their business model, its gross margins, and how the company estimates the move from being slightly dilutive to non-dilutive in ’09 and what the drivers are there? Thanks.
Richard Gaynor: Jack, I’ll start and talk a little bit about the financial model and then I’ll hand it over to Hassan to just talk about price of the product, technology, direction. We closed that deal on the 18 of April. We paid less than $5 million for the deal. Because it is not material from an SEC perspective, we don’t have to pound out financials in detail but clearly at $4.9 million, we do not anticipate taking a very strong revenue stream out of Atreus. This is more of a technology buy. It’s more of a made-for-us buying decision for the company and we think it fits very well with our product portfolio but as I said earlier, we were not changing our outlook for the entire year. And as a result, you can assume that Atreus really just gets absorbed into the company. It doesn’t add a tremendous amount to the top line. Obviously, they add some cost but we think we can accommodate that in our 14-16% operating view for the year. So we did say dilutive this year but it’s very modestly dilutive and really, we’ll just absorb it into the plan we already put out to the streets. And in fact that its revenue contribution is really not significant enough for us to change the plan.
Hassan Ahmed: And so as we look beyond 2008, Jack, the US, first of all, those gross margin model, Atreus is primarily a software product and so the gross margin model on it is very, very good as you might imagine for a software product. The way that we anticipate its deployment and growth beyond 2008 is that Atreus becomes an important piece of the puzzle for our growing Access business where service activation and helping our operator and customers get to activate their services quickly and get into service, and be able to integrate with their lacing networks. That’s the value that Atreus really brings and it allows Sonus to move from our Access business to providing not only infrastructure but also services associated with turning up its Access networks. That’s what part of the company do and as our Access business grows; you’ll see more Atreus sales go through as part of the Access deployments.
Operator: That does conclude the question-and-answer section of today’s call.
Hassan Ahmed: Well, thanks very much and I want to thank everyone for joining us on the call today. As you can see that Sonus is delivering on what we say we’re going to do and we’re very focused on the growth that we expect to achieve throughout this year. We’re very pleased to be in the #1 spot in this market but as in prior years, our focus is on continuing to add market share, and we look forward to updating you on that quarter-by-quarter. Thanks for joining us today.